Operator: Ladies and gentlemen, my name is Ian, and I'll be your conference operator today. At this time I would like to welcome everyone to the Fiscal Third Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. . I would now like to turn the call over to Mr. Jonathan Doros. Sir, you may begin.
Jonathan Doros: Good afternoon and thank you for joining our call to discuss our third quarter fiscal year 2017 earnings results. We've posted the earnings materials and prepared remarks to our Investor Relations, Events webpage. Speakers on today's call are Greg Clark, Symantec's CEO, and Nick Noviello, Executive Vice President and CFO. This is a live call that will be available for replay via webcast on our website. I'd like to remind everyone that all references to financial metrics are non-GAAP, unless otherwise stated. We provide year-over-year constant currency growth rates in our prepared remarks for revenue. All non-GAAP revenue and expenses excludes the impact of Veritas. However, the continuing operations deferred revenue on the balance sheet includes a portion of Veritas deferred revenue from Symantec and Veritas bundled contracts entered into prior to operational separation. The Veritas deferred revenue from those contracts will amortize into discontinued operations. As a result, implied billings growth calculated from the change in deferred on the balance sheet will not be representative of stand-alone Symantec's performance, as it will include an impact from Veritas. Please note, non-GAAP financial measures referenced during this call are reconciled to their comparable GAAP financial measure in the press release and supplemental materials posted on our website. Today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date and, as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to cautionary statement in our press release for more information. You will also find a detailed discussion about our risk factors in our filings with the SEC and, in particular, on Form 10-Q for the quarter ended September 30, 2016. As you may have seen, today we made an announcement about a possible debt offering. Due to SEC rules restricting publicity in offerings of this kind, we cannot provide more information about the offering, and will therefore be unable to comment or answer your questions on this topic. And now, I'd like to introduce our CEO, Greg Clark. Go ahead, Greg.
Gregory S. Clark: Thank you and good afternoon. In my remarks today I will; one, recap our third quarter results; two, update you on the execution of our strategy; three, give you a progress report on our execution since combining Symantec and Blue Coat; four, discuss our confidence in the long-term outlook for Symantec. First, let me give you a quick overview of our execution in the third quarter and the progress we've made during this period. Consistent with our fiscal Q2, we exceeded our third quarter revenue guidance across both consumer and enterprise on a constant currency basis, and also beat our operating margin and EPS guidance. Furthermore, we are seeing evidence that the underlying fundamentals of the business continue to improve. In just two quarters since combining Symantec and Blue Coat, we are making great progress on our product integration and cost efficiency initiatives. From a go-to-market perspective, we are seeing good collaboration in the field and are confident in our fiscal 2017 outlook. Our sales force is performing well and from an integration standpoint we are aligned operationally for a successful start to fiscal 2018. And finally, we expect to close LifeLock acquisition by February 9, and we are pleased with LifeLock's updated outlook filed today. This is an impressive result given the typical distractions that can occur around a transaction and a credit to the strength of their business. Now let me discuss how our Enterprise Security strategy and how it's resonating with customers. The response from customers and our global channel to our integrated cyber defense platform gives us confidence in our market position in both cloud and hybrid cloud. We believe, as an industry, we are in the early innings of a dramatic shake-out among winners and losers within the estimated over $80 billion to be spent annually on enterprise security. In the near future, we predict there will be less than a handful of strategic security providers, Symantec being one, which will have made the appropriate technology investments to lead in the cloud generation of security. Investment in solutions that help customers migrate to the cloud is core to our long-term plan. We are delivering this innovation, while also integrating our products. Customers are excited about both our product advancements and eliminating integration work traditionally done by expensive internal staff. We believe the work we are doing will result in a multi-year acceleration in market share gains from where we are today, as we invest in this massive transformation to the cloud. Conversely, there will be a group of security companies whose products fulfill just an element or feature of a platform, as well as vendors that are not making substantive investments for the cloud generation of security. We do not believe these companies will remain competitive over the long run. I would like to walk you through some examples of our leadership and some progress we've made. To begin, I would like to draw your attention to a significant cyber incident that occurred recently in the Middle East. Critical infrastructure at a large chemical company was attacked by highly advanced malware. Shortly after the attack, the affected company announced that Symantec had resolved this difficult problem for them. We don't disclose the exact details of these incidents, but the results speak for themselves. We're very confident in our ability to help our customers defend against and recover from complex state-sponsored cyber-attacks. Our threat intelligence is differentiated from our peers, in that we combine a tremendous breadth and volume of consumer and enterprise data from multiple threat vectors, including third parties. Another example, in December, the value of our threat intelligence was demonstrated again with the public disclosure of our assistance to the FBI in tracking and arresting the cyber group called Bayrob, who was responsible up to $35 million in thefts and more than 300,000 compromised computers. We are also very pleased by the third party recognition we've recently received, which validates our strategy and informs our value in the marketplace. Some examples. First, on the endpoint, AV-TEST just announced that Symantec Endpoint Protection and Norton Security won the Best Protection Award for the second year in a row for its industry-leading capabilities to stop sophisticated cyberattacks. Symantec is the first company to win this prestigious award in both the business and consumer categories two years in a row. Second, at the end of January, we were again placed in Gartner's Leader's Magic Quadrant for endpoint protection for 15 years running. We are appreciative of Gartner's recognition once again, which we believe reflects our investments in artificial intelligence for SEP 14, coupled with our leadership in prevention. We are optimistic about future market gains for our endpoint franchise. Third, another strong validation of our relevance and technology leadership in cybersecurity comes from an independent study that was recently published by academia and industry titans, which reviewed the security industry's ability to adequately handle an encrypted Internet. The Blue Coat Proxy received an A rating by the study, whereas all remaining security offerings that were tested received a C or an F for securely handling encrypted traffic. We've provided a link to the report on our Investor Relations website. Now, I would like to touch on some product innovation highlights from the last quarter, including the progress of our integration of the Blue Coat acquisition. The endpoint has become the battleground for protecting users against advanced threats, as roaming users proliferate and network traffic becomes increasingly encrypted. We recently shipped our next generation endpoint solution, Symantec Endpoint Protection, SEP 14, in November. It's off to a strong start, and we are seeing acceleration of new wins and pipeline build. SEP 14 combines machine learning and exploit protection functionality with our comprehensive stack of endpoint technologies, all within a lightweight agent. While many of the upstart competitive endpoint vendors are only solving a single slice of the endpoint security challenge, SEP 14 is the only complete solution in the market covering prevention, detection, and response within a single agent architecture. Furthermore, our solution includes support across multiple devices and multiple OSs. This provides a strong ROI for customers, which we expect will improve over time as we bring additional solutions to market that leveraged this core architecture, thereby fulfilling our customers' desire to make our endpoint platform the cornerstone of their long-term security posture. We are committed to being at the forefront of innovation on the endpoint. We are accelerating our rollout of new features with our next SEP release, which will include adaptive policy controls delivered via cloud-based management console and additional functionality targeted at endpoint forensics. And later this year we plan to integrate the SEP agent into our CloudSOC and Web Security Service for end-to-end control of roaming users and inoculation of compromised endpoints. The feedback from customers and industry analysts continues to be overwhelmingly positive on the value SEP provides compared to a multi-agent alternative. From a customer perspective, the wins and pipeline have accelerated. I'll give two examples. A large apparel company that was evaluating a point machine learning competitor, backpedaled from their decision after their CISO added SEP 14 into the technical bake-off. The prospect has since converted to becoming a SEP customer. We win the majority of head-to-head bake-offs when customers look past marketing claims and focused on the technical, integration and defense-in-depth merits of our offering. Another example of the value of SEP 14 took place at a prominent healthcare company in the Midwest. The company realized they did not need an overly complex and burdensome solution from leading firewall company for memory exploitation, because SEP 14 offered better technology and leveraged their existing infrastructure in a single agent. Displacements like this are underway in many different accounts around the globe. These are great examples of the value of our technology. The pipeline is building with many of these types of deals, mainly led by our channel partners. We would like to remind everyone that SEP 14 is integrated with our market-leading data protection products for endpoint DLP and ProxySG, which gives additional data loss prevention and network protecting capabilities. As Nick will mention, our endpoint security grew again this quarter. Our cloud platform is another area of rapid innovation for us. As we said at the time of the Symantec and Blue Coat acquisition, endpoint integrated with cloud is a very strong value proposition for customers. Most still think of cloud security in discrete feature-sets with unique vendor offerings for CASB, DLP, advanced malware, identity, messaging, and web protection. We have found tremendous value in integrating these stacks to provide an advanced solution for our customers. For example, data protection must extend from the endpoint to the cloud supporting both sanctioned and unsanctioned applications. To accomplish this, customers have to integrate their traditional DLP, CASB, and web protection into their cloud strategy, which is overly complicated and expensive involving multiple vendors and consultants. We are the only solution provider delivering seamless integration for our customers across these areas. As we progress, the product areas of CASB, DLP and web protection will blur and become a singular requirement from progressive customers. We see validation of this in the market with, for example, the competitive landscape of CASB. Many CASB vendors struggle to deliver sustainable value. They are being forced to extend into product adjacencies to solve even simple challenges posed by the cloud. We believe the technical debt facing these singular vendors is significant, which gives us confidence about the competitive future of our solutions and our position to serve our customers. During Q3, we closed numerous new CASB deals across virtually every region and industry. These deals have room for significant expansion through follow-on enterprise-wide transactions that leverage our complete cloud security stack. Just in the last week, we closed a multi-million CASB transaction with one of the largest global telecom providers to secure their move to cloud. All the relevant security vendors competed for this business. We believe this is one of the largest CASB deals ever booked and a sign that we have the most competitive cloud security stack in the industry. Our cloud capability is also resonating with both large and mid-market customers as a part of their strategy for hybrid cloud security. As an example, we closed an eight figure new security analytics and CASB win at one of the largest financial services companies. The drivers of the win were our current and future product integrations, specifically ProxySG and Security Analytics, Data Loss Protection and CASB, as well as a future integration of content analysis and endpoint protection. In another example, a Fortune 250 healthcare company with a substantial Symantec deployment expanded their footprint after we articulated the strong value proposition of our integrated offering. The first step was a multi-million Blue Coat ProxySG, Content Analysis System, and Malware Analysis win that included replacing an existing competitor. This customer intends to deploy our CASB offering as they continue to adopt cloud solutions. And finally, within the mid-market space, another healthcare company with a SEP deployment committed to our integrated strategy with the purchase of the analytics and proxy solution. These examples, customers are moving to the cloud and leveraging a hybrid approach. More importantly, each is an example of customer who is able to achieve stronger cyber protection by investing in our integrated cyber defense platform, while driving more value from their security spending. In summary, the power of our platform is driven by integration of our core franchise across users, information, web and messaging, combined with a commitment to openness that provides customers with a trusted cybersecurity partner for their long-term success. The delivery of and reception by industry of our AI solutions in SEP 14 is a validation that we continue to be the leader in endpoint security. Overall, we are pleased with the progress of our Endpoint Security innovation and financial results. Now turning to Consumer Security. To recap from the LifeLock acquisition announcement, I would like to cover why we are so passionate about combining LifeLock with our Norton consumer business and extending our brand from primarily PC malware protection to a much larger value proposition that we have branded digital safety for consumers. Consumers pay between two times and three times more for identity protection than they pay for endpoint malware protection. With the acquisition of LifeLock, the value proposition of our consumer solution now extends to include identity protection and recovery services, offering the broadest and most comprehensive platform for consumer digital safety. The combined offering will protect consumers' digital presence, alert them to suspicious activity, and protect them against malware. Our combined service will also help consumers recover when their endpoint or identity becomes compromised. We intend to cross-sell LifeLock and Norton offerings into their respective customer bases, which we expect will increase ASPs and retention rates in both cohorts over time. The cross-sell opportunity reduces renewal risk at the time of PC refresh. More broadly, we believe consumers are paying in aggregate more now than ever to protect their families' digital presence, and we estimate the combined addressable market for digital safety is now over $10 billion and growing in the high single digits and substantially larger than the subset of PC malware. Since the LifeLock announcement, we've received overwhelmingly positive feedback on our vision for a comprehensive consumer digital safety platform from our customers, partners, and industry participants. As I stated earlier, we expect to close the LifeLock acquisition by February 9 and we're expected to begin integrating LifeLock into our Consumer Security business. As you can see from LifeLock's preliminary results filed today, the business momentum is strong across revenue and adjusted EBITDA. Now turning your attention to another pillar in our digital safety strategy. This is around protecting the consumers' home, family, and all IoT devices within their digital life. We've seen large scale data breaches exposing hundreds of millions of consumer identities, multi-OS ransomware victimizing the consumer, and now the home IoT network becoming both a target and a cyber weapon. At the Consumer Electronics Show in early January, we announced Norton Core. This solution is uniquely designed to protect and manage home networks from hackers that are now compromising connected devices to access personal and financial information, as well as to use such devices as weaponizing consumer electronics in larger scale attacks. The feedback coming out of our launch at CES from the industry and partners was fantastic. Some of the accolades we have received so far for our Norton Core launch include the Wall Street Journal's Best of CES 2017, CNET's All the Cool Gadgets at CES 2017, ZDNet's Best Smart Home, IoT Products of CES 2017, and Verge quoted one of the more interesting ideas to come out of this year's CES. Key features of this solution include, advanced scanning of data traffic across the home network with the ability to scan connected devices for vulnerabilities and if threat is discovered, to quarantine the device to a segregated network until remediation can be conducted. Next-generation parental controls at both the network and endpoint to set limits for application screen time and quotas, filtering of inappropriate content with the ability to receive notification alerts, and even the ability to pause the entire home network for dinner. The product also delivers an easy-to-use mobile app forming a cyber defense console for consumers. The Norton Core security and parental control solution is currently uniquely hardened to our platform, but it can be tightly integrated as part of other networking platforms, such as cable modems. We are in discussions with several service providers and device manufacturers regarding the value of Norton Core. Norton Core is yet another example of the organic innovation that is flourishing at the new Symantec. In summary, we are confident about the long-term outlook for Symantec. Since August, we have fully integrated our threat databases and now blocking more threats than either Symantec or Blue Coat ever did on their own; brought to market an integrated cyber defense platform for the enterprise that includes major integrations across the respective solutions; accelerated the transformation of our consumer business with organic innovation and with the announced acquisition of LifeLock; and delivered substantial innovation across our portfolio. And as Nick will cover, we have also tracked ahead of schedule on our cost and synergy initiatives. We are well on our way towards simplification of our business processes to drive internal operating efficiencies and make our company easier to do business with. We've exceeded our revenue, margin and EPS guidance for the last two quarters, and reinforced our leadership in cyber defense innovation. We believe our Enterprise and Consumer Security business are both positioned for long-term sustainable organic growth with strong profitability. Cybersecurity is at the top of the agenda for governments, businesses, and consumers. And we now intend to take the significant assets we have to build and become the leading cybersecurity company in the world. Now let me turn the call over to Nick.
Nicholas R. Noviello: Thank you, Greg, and good afternoon, everyone. Today I will provide an overview of our third quarter results, give you an update on our progress against our $550 million in cost efficiencies and Blue Coat integration synergies, outline our near-term capital allocation plans related to share repurchases, review our financial outlook for Symantec related to fiscal year 2017 and our fourth quarter fiscal year 2017, and discuss LifeLock and its potential implications to our fourth quarter, incorporating both our expectations for the financial results from the LifeLock business during our period of ownership in Q4, as well as the impact of the transaction financing, neither of which is built into the fiscal year 2017 and Q4 guidance we issued today, given the transaction has not yet closed. In addition to our call today, we have made additional details on our Q3 results and the impact of foreign currency to our guidance available in our CFO commentary, which is posted on our IR website. Our third quarter non-GAAP revenue was $1.088 billion, up 19% on a constant currency basis, which was above our guided range of up 15% to 18%. Since we provided guidance in November, foreign currency had a negative $18 million impact to our non-GAAP revenue of $1.088 billion. We disclosed this impact in our Q3 FY 2017 foreign currency update posted on our IR website on January 12. Excluding the impacts of foreign currency, non-GAAP revenue exceeded the high end of our prior guidance by $16 million. Operationally, we experienced improved revenue performance and beat our prior revenue guidance in both our Consumer and Enterprise Security segments. Non-GAAP operating margin for the third quarter was 30%, 2 points above the high end of our guided range of 27% to 28%, despite the headwind from foreign currency. Foreign currency negatively impacted non-GAAP operating margin by approximately 50 basis points compared to our guidance. Operationally, our strong non-GAAP operating margin was driven by top-line revenue performance and continued execution against our cost savings initiatives and synergies. Fully diluted non-GAAP earnings per share was $0.32, above our guidance of $0.27 to $0.29, and reflected our strong operational performance, despite $0.01 of headwind from foreign currency. Fully diluted shares outstanding increased by 10 million from Q2, primarily due to the impact from our convertible notes, driven by increased share price. Please see the dilution tables posted to our IR website, where you can see the impact to diluted share count from the convertible notes at various stock prices. Cash flow from operations during the quarter was $144 million and included $30 million in cash outflows related to restructuring and transition. Let me now provide further detail on our performance by segment. Our Enterprise Security segment non-GAAP revenue increased 40% year-over-year, which exceeded the high end of our prior guidance by 3 points. Enterprise Security non-GAAP operating margin was 17%, up 5 points from 12% last quarter. Within Enterprise Security, our endpoint security products grew again in the low single digits buoyed by our release of SEP 14 and its next generation endpoint capabilities. Cybersecurity services had another solid quarter, growing in the mid-single digits, as customers rely on our security intelligence and talent. Blue Coat's products contributed $207 million of non-GAAP revenue in the quarter, and $331 million year-to-date. Non-GAAP revenue from Blue Coat products on a year-to-date basis is performing in-line with our expectations. As we indicated, Blue Coat products are now part of a broad and integrated cyber defense offering for the enterprise. As we are managing the Enterprise Security portfolio as a combined offering, we will not provide going forward guidance specific to Blue Coat revenue. Overall, we are very pleased with our strong combined enterprise segment revenues and operating margin in Q3, which exceeded our expectations. Now, onto our Consumer Security segment. Consumer Security non-GAAP revenue was down just under 5%, an improvement from last quarter and better than our guidance of down 6%. Consumer non-GAAP operating margin was 54%, in-line with our expectations. Within Consumer Security, we continue to see improvement in our renewal metrics, as we benefit from the shift to subscription and a focus on delivering a premium digital safety platform to consumers. Our mobile user count grew approximately 50%. We expect to see an increasing tailwind to revenue growth from our mobile telco customers beginning in fiscal 2018. Though they are substantial from a user count, currently these customers are not a material contributor to in-quarter revenue. As Greg mentioned, service providers are strategically important to Symantec, as they strengthen our value proposition to customers seeking unified protection across multiple endpoints, including PC, Mac, iOS and Android, as well as consumer IoT in home. Now, turning to our cost savings initiatives and Blue Coat integration synergies. Our total cost savings initiatives are comprised of $400 million in net cost efficiencies on the Symantec business and $150 million in Blue Coat cost synergies. We have achieved savings already across the areas of procurement and organizational effectiveness. We are also beginning to realize savings in IT and real-estate. We have a strict process and discipline in place around this program, and remain on track to achieve over $200 million in net cost savings and efficiencies exiting fiscal 2017, which is better than our original expectation. Finally, we continue to expect that we will meet our cost efficiency and integration synergy goals by the end of fiscal 2018. Please note that our current outlook excludes synergies we expect from LifeLock. Turning to the balance sheet and capital allocation. As of December 30, we had $5.6 billion in cash and short-term investments and $7.3 billion in total debt, including $1.75 billion of convertible notes. When we announced the LifeLock transaction in November, we also indicated that our board of directors had increased our share repurchase authorization to $1.3 billion, with up to $500 million planned to be repurchased by the end of fiscal 2017. We are on track to execute this $500 million of repurchases. To close the LifeLock acquisition, we expect to raise up to $1.1 billion of debt. Consistent with our approach on the Blue Coat acquisition, we expect the LifeLock acquisition to help us transform our consumer business, while also generating substantial revenue, operating income, and cash flow for the company. Lastly, we remain committed to maintaining our regular quarterly dividend. Now I will provide our updated financial outlook. Let me start with the full year, then back into our fiscal fourth quarter. We are reflecting the headwind from foreign currency in this guidance; the specifics of which are noted in the CFO letter posted to our IR website. For fiscal 2017 ending in March, we are narrowing our fiscal 2017 non-GAAP revenue outlook to the high end of our previous guidance range, currency adjusted from November. At the midpoint, we are increasing our fiscal 2017 constant currency non-GAAP revenue growth guidance to 12.5% year-over-year from 12% year-over-year. We are increasing our non-GAAP operating margin expectation to approximately 29%, the high end of our previous guidance range of 27% to 29%. We are increasing our non-GAAP EPS guidance range to $1.17 to $1.19 from $1.12 to $1.18, which represents $0.03 at the midpoint despite headwinds from currency and share count. Underlying this, we expect a non-GAAP effective tax rate of 29% and fully diluted average share count of approximately 644 million shares. Now backing into the fiscal fourth quarter, we are increasing the low-end of our fourth quarter non-GAAP revenue guidance, resulting in a range of 24% to 26% growth in constant currency, up from our previous implied guidance of 21% to 28% growth in constant currency. This translates to an outlook on reported revenue of $1.070 billion to $1.090 billion, which incorporates an approximately $30 million headwind from currency from the time we provided guidance on our second quarter call. We expect Enterprise Security to be up 48% to 51% in constant currency, which translates to $686 million to $702 million in reported revenue. We expect Consumer revenue to be down 4% to down 3% in constant currency, which translate to $384 million to $388 million in reported revenue. We expect an operating margin of 27% to 29%, which is impacted by 80 basis points headwind from currency. And we expect non-GAAP EPS of $0.27 to $0.29, which is impacted by a headwind of $0.02 from currency. We expect fully diluted average share count of approximately 658 million shares. This guidance includes additional dilution from the convertible notes due to our increased share price, as well as our $500 million accelerated share repurchase program that we expect to execute during the quarter. At the time of this call, we have not yet started the share repurchase program. Given that we have not closed the acquisition of LifeLock, our guidance provided today does not include any contribution from LifeLock. With respect to LifeLock and for your modeling purposes, we expect a fairly linear fourth quarter contribution to revenue from LifeLock, given their subscription model. For example, assuming the February 9 close, and based on LifeLock's latest forecast, we would expect a contribution of just under $100 million of revenue and around $9 million of non-GAAP EBIT. This will be offset by incremental interest expense from the debt used to fund the transaction and, to a lesser extent, incremental shares. Together, we would expect a net impact to EPS of approximately $0.01 of dilution for the fourth quarter. This potential dilution is not factored into our guidance today, as we haven't closed the transaction. When we report our full year and Q4 earnings in May, you can expect we will reconcile and lay out all of the financial impacts from LifeLock. Finally, turning to our fiscal 2018 outlook. Again, in May, you can expect us to lay out our complete financial guidance for the fiscal year 2018. Today, I am only going to update you on the EPS guidance we have given to date. We feel good about our operational outlook for FY 2018, from top-line to non-GAAP operating margins, where we expect a material increase in each measure from fiscal 2017 to fiscal 2018. We also look forward to a close of LifeLock leading to the acceleration of our consumer digital safety strategy. As you know, since we last provided an outlook on fiscal year 2018 in November, currency has moved materially and remains volatile. This has the potential to negatively impact our fiscal year 2018 revenue and EPS expectations, as it has impacted our third quarter results and is expected to impact our fourth quarter. In addition, our estimate for fully diluted share count will continue to be impacted by changes in the dilution from our convertible notes due to fluctuations in our share price. Overall, we continue to expect a result within the $1.70 to $1.80 range in non-GAAP EPS for fiscal year 2018. Expect that when we speak to you in May, we will give you full details of our operational plan for fiscal 2018, our expectation for the Consumer Security business incorporating LifeLock, the impact of LifeLock financing, the impact from currency, and updated share count assumptions. Before we turn the call over to Q&A, we would like to highlight a few upcoming events. During the quarter, we will be presenting at the Goldman Sachs Technology Conference, RSA Security Conference, JMP Technology Conference, Pacific Crest Emerging Technology Summit, Morgan Stanley Technology Conference, Raymond James Institutional Investor Conference, and the Susquehanna Technology Conference. I am also pleased to announce that our Financial Analyst Day will be held on June 8 in San Francisco. A save the date for the event will be sent out shortly. Now let me turn the call over to Greg for closing comments.
Gregory S. Clark: Thank you, Nick. In summary, the new Symantec is positioned to be the leading cybersecurity provider to protect customers for the cloud generation. With the upcoming acquisition of LifeLock, we are delivering the most comprehensive digital safety platform for consumers at a time when the need for an end-to-end offering has never been more acute for families. From a financial perspective, we are on track to gain share and achieve industry leading profitability at scale, which will drive sustainable free cash flow growth. Finally, we are efficiently deploying capital to maximize long-term shareholder value. Operator, we'll now take questions.
Operator: Our first question is from the line of Matt Hedberg from RBC Capital.
Matthew George Hedberg: Hey, guys. Thanks for taking my questions. Greg, I want to start with you. Feedback from the channel on SEP 14 has been positive, and you seem to echo that in some of your prepared remarks, I think at low single digit growth. Can you give a little bit more color on really the value that customers are seeing in SEP versus point products? And maybe if growing pipelines could translate to further acceleration of your endpoint offering.
Gregory S. Clark: Yeah, so I think there's a couple points that are definitely massive progress for us. First of all, those two references on third party validation around SEP 14 are meaningful. And AV-TEST test is the sort of benchmark of things to get through an endpoint, and winning that two years in a row for detection prevention is definitely a huge accolade for the business. In addition to that, in SEP 14, the primary technology add there was we added a bunch of the AI machine learning technology to be able to do what some people call signature-less detection, a behavioral analysis, which some of the new entrants into the market on endpoint protection have sort of hung their business on. We are now the leader in effectiveness for artificial intelligence detection methods, and that's coming through very well in the test on SEP 14, which is why you're hearing good things about it in the channel. So we've had a number of situations where we've joined bake-offs in this area and clearly won them and turned those around. I mentioned one in my remarks. Our pipeline is going great, and this has two effects for us. One, we get a lot of new customers as people go and try this out, and we also make sure that we retain a bunch of existing customers, because our footprint in the endpoint in the enterprise is market leading. So all in all, that's going really well. And I think then if you look to the next horizon on endpoint, our endpoint has data protection integration; others don't. That is a massive value proposition to people trying to tackle data loss and other kinds of information protection needs they're having in cloud generation. And now, with the integration of our networking technologies coming in from Blue Coat, we have the endpoint working with the gateways on some very innovative things to really help stop some of the more modern attacks and some of the emerging attacks that we're seeing. So we feel very, very good about our ability to compete with SEP 14, and we have also now turned our guns to the incident response elements of an agent and we think that we will soon be able to lay claim to an agent that can do the best prevention in the world, the best detection in the world, and the best recovery. And we think the combination of those three things is market leading. Also the Gartner Magic Quadrant came out, and we are now the only North American vendor left in the Leader Quadrant, and we extended ourselves very well this year in the Leader Quadrant, and some of our traditional competitors are no longer in it. So that is a testament to our effectiveness with the AI technologies we brought to bear on that. So we feel pretty good about that. We also feel good about our ability to step in some market share as other folks go out of the quadrant. And all in all, better retention, more market share, we feel good about endpoint. Is that helpful?
Matthew George Hedberg: That's great. Thanks, Greg. And then maybe one more operational question. You talked about the sales force performing well and is aligned for 2018. I'm curious, though, could you provide a little bit more color on some of the changes that will go into effect in 2018 with your integrated sales force?
Gregory S. Clark: Yeah. I think that a really good question. When we embarked on the journey of putting Blue Coat and Symantec together, this was one of the things that myself and Mike Fey really lend a lot of time to making sure the sales force still work. So we're now closing the second quarter on beating our guidance, and one of the main things in any sales force is predictability. I think that that's something that we're feeling very good about and that we have taken two large sales forces and we're predictable and it still works. So like I say sort of – that's usually things take a pause at the beginning of two large integrations like that. We have not seen that happen, and so we feel really good about the current state of play. As you can see from Nick's comments on our fourth quarter, we're feeling good about right now. So what happens in 2018 is we are going into a situation where we have a much expanded sales force. Right now we are incenting the Symantec people and the Blue Coat people to work together. In 2018, we have a much wider approach. We've been doing a lot of training to bring the Blue Coat teams up to speed on the Symantec products, and the Symantec products up to speed on the Blue Coat systems. We are optimistic that after that is deployed, that we will see a massive capacity gain in the field, and we have also been doing a lot of work on our channel. And when we get to our Analyst Day that we announced before, we will give you some insights into the simplification of what we're doing in the channels, which we expect to also drive some substantial efficiency gains both for our channel and for us, which should help us drive better results in 2018. So we do have some heavy integration work coming down the pipe in the sales force. We are very experienced at these matters and we've got a lot of training and planning around it. And we feel good about our ability to execute, and we feel very good about the capacity increases we will bring to bear on the market as we get further into 2018.
Operator: And our next question comes from the line of Michael Turits, Raymond James.
Michael Turits: Great. Thanks very much for taking the question. Greg, I'd like to ask about differentiation in two product areas. First you mentioned CASB quite a bit. It is a competitive field so a differentiation there. And also one of the things that Blue Coat brought to the table was cloud-based delivery system, especially around the proxy. So how important is that and how is your differentiation working there?
Gregory S. Clark: It takes a while and thanks for asking a very important question. So the CASB market is a very important one as we kind of move into the cloud generation. And what it does? It allows you to get your defenses back on applications that are running in a cloud property, perhaps somewhere ServiceNow, Salesforce.com, and also allows you to gain control over a set of infrastructure that's not really under the remit of your CIO. It's an essential element the content of CASB as we migrate to cloud, especially in the enterprise context. So we have, I think, really differentiated ourselves. I think the Forrester Research on the current state of CASB really puts us in a highly differentiated space, because we integrated some extremely important pieces. We've taken a very powerful data protection technology from Symantec and integrated it with the CASB solution, and now we have a way better story for what do you do when you find compliance problems in cloud, how do you get it back under control, which is with combination of CASB and data protection come together, very powerful. In addition to that, we've integrated the proxy footprint of the large Blue Coat installed base to be integrated with the CASB, whether it be our cloud-based proxy delivery, our virtual appliances, or our physical appliances. They are all now integrated completely with a full stack of proxies, CASB, and data protection. And we will soon be releasing a multifactor authentication add from Symantec VIP, so we would take care of not just the policy management of these things and data protection, but also the authentication in a multi-application environment. The combination of those things is when a customer currently integrates themselves with their own teams, from three, sometimes four vendors stitching that together. And we've come to market and say, you don't have to do that anymore. You can buy that from us, integrated, warranted, supported, delivered globally, and delivered under one SLA. So we believe that this differentiation is important. And since we last spoke, we have even delivered a CASB deal in the multiple millions size at a single customer protecting a single one set of applications, which really I think is a testament to the value of this market. We feel very good about our ability to help our enterprise customers get into the cloud generation and maintain their defense in-depth, while they do that. This topic is paramount in my discussion. Is that helpful, Michael?
Michael Turits: It is. If I could get one quick follow-up. A lot of that is additional. There's a lot of incremental to Symantec from what is coming with Blue Coat. How are you getting the sales force to take that incremental Blue Coat capability and re-enter into discussions with the Symantec existing customers?
Gregory S. Clark: So I think Symantec and Blue Coat in product management in the field already had a shared vision here. Like the Blue Coat network technology and the Symantec data protection technology been integrated in the market for a long time, and do well together inside customer accounts. Then we came along and brought CASB to it for the stuff that's outside the firewall and the cloud, and that was a natural fit. And then most people were trying to figure out how to do single sign on a multifactor authentication across 50 cloud apps. We had that solution. So taking these pieces and putting them together in our field was extremely easy to do. This was something where people were hoping we were going to do that, thought we were going to do that, and when we reaffirmed that in our product roadmaps, they were very excited at the customer cold base (47:39).
Operator: And our next question is from the line of Andrew Nowinski from Piper Jaffray.
Andrew James Nowinski: Thanks. Congrats on the great quarter and the guidance for Q4, especially in light of the currency fluctuations. So I just want to ask a couple questions on the Consumer segment. So first your Consumer revenue growth on a constant currency basis came in better than guidance, and Q4 was also better than expected. I guess, can you just provide more detail on the trends you're seeing broadly in Consumer?
Gregory S. Clark: Yeah. So I think in Consumer, there's a couple things that are really noteworthy. We came to market with the announcement of Norton Core at the CES show in Las Vegas, and we had some comments in our prepared remarks on that. I encourage everyone to go and take a look at those. That launch was extremely well received both at the show and even in our telecom service provider customer base extremely powerful interest in bringing that to market, especially what's been going on in IoT in the home and protecting the family and protecting our customers across multiple channels, whether it be PC, Mac, Android or iOS. And so we have a very strong story there. We've also launched our Wi-Fi protection for when you're a consumer and you're roaming around, protect you on all the various Wi-Fi infrastructure that you attach to, which is a dangerous place for malware. And when we put it all together and bringing LifeLock to the story, we have now got a digital safety proposition for consumers, their family, and the total end-to-end cyber defense and identity protection problems that they have. This includes things like next-gen parental controls, where it's not about just blocking inappropriate content. It's about face time, screen time, time of day, and even turning off the applications so that everyone comes to dinner and puts down their cellphone. This is really center of mind for consumers. It's been- we have been testing this with our focus groups. We do a lot of focus group testing, and we are very bullish about our ability to increase our consumer revenues from this value proposition. And also as people refresh their PC footprint to be able to not have to work too hard to keep them across that refresh through this value proposition, which is extremely powerful in really bringing our malware protection revenues back to growth. So we think that we – as we announced at the LifeLock acquisition, that we can do that in an accelerated fashion and we are bullish about the future of our consumer business. We're also encouraged by the results that LifeLock announced today. That was a strong result considering an acquisition at the same time.
Andrew James Nowinski: Okay. Got it. And then just as a follow-up on your comments on Norton Core. What are your go-to-market strategies for that product? Since most consumers typically buy their home router from a store like Best Buy or they rent it through a cable MSO.
Gregory S. Clark: So we've – a lot of these consumer electronics stores carry Norton already, and we've had extremely good feedback globally from those channels, whether it be in Japan or Germany or the U.K. or here in the U.S. So we're very excited about the consumer channels that we use and the interest in Norton Core from them. And then in addition to that, as I mentioned, we have a strong go-to-market partnership inside global telecom for our Norton products, and that is a natural fit to where we put in not only hardware solutions, but also we combine our technology with existing hardware solutions that are already being deployed by some of these broadband providers. So we feel good about really extending our brand. We have real tech here, and we've got a very strong presence from the networking side of Blue Coat in these telecom providers already, and we feel good about being able to really go after that sort of consumer broadband user in the home. Two routes, people that will pick up a powerful piece of technology and bring it home, and also getting it through the service provider themselves.
Operator: And our next question is from the line of Keith Weiss from Morgan Stanley.
Keith Eric Weiss: Excellent. Nice quarter, guys, and thank you for taking the questions. Greg, I was hoping to dig into LifeLock a little bit more, now that we're little bit closer to the close. You gave us some bones in terms of sort of understanding the upsell framework with core Norton. You talked about sort of the higher value of an identity protection consumer. I was wondering if you could maybe put a little bit of meat on those bones in terms of what we're thinking about in terms of how big is the opportunity within the current Norton base? Is there a lot of overlap? If you can give some kind of dimensions around that potential upsell opportunity, that would be helpful.
Gregory S. Clark: That's definitely a really good question, Keith. Thanks for asking it. So we did a lot of work prior to signing the merger with LifeLock around the analysis of our cohort in North America that are solid Norton customers, very strong brand recognition, been with us a long time. What we liked about that was a lot of the people that really get value from LifeLock are people that are further on in their career and they have lot of assets. They've got home loans, car insurance, multiple credit cards, and that cohort is a very nice mix between what we have in the Norton renewal base and the overlap with LifeLock is in the teens as a percentage. So we feel really good about, as we renew those, that cohort being able to bring the identity protection and the digital safety value proposition to them. This is something we tested prior to the deal, and we liked the results from the test. We continue to test and continue to do some surveys and whatnot. I mean, we continue to feel better about those results. Is that helpful?
Keith Eric Weiss: Yes. Thank you. And maybe one for Nick as well. Just to confirm, when we're thinking about the FY 2018 guidance, it still doesn't include LifeLock in that, number one. And number two, when we're thinking about the currency impacts, can you help us quantify what potential impact the currency had on that $1.75 to $1.80?
Nicholas R. Noviello: Yeah. So hey, Keith. So a couple of things, as we look at the overall. First let me talk about FY 2018. So, remember, when we talked last quarter, we talked about absorbing about $0.10 in FY 2018 around share count. In December, what we did was we said, okay, we're looking at LifeLock, we're looking at our acquisition models with LifeLock, and we're incorporating that in the $1.70 to $1.80. Okay. That incorporates the business, but also the debt around the business. Now we're talking about also we've got additional shares and FX volatility that we have to build in. So when we reiterate the range, they're building in all of those topics. So the one thing probably on the script that let me make sure is clear. So what we're saying about LifeLock for the script is, it's not built into our Q4 and FY 2017 guidance, because it's not closed yet. We gave you the view of – assuming the February 9 ratable revenue recognition, there's not a lot of – because there's a lot of monthly maintenance, et cetera, we'll be able to get through that valuation in terms of what the haircuts are, et cetera. So that was the – let's keep in mind, there could be $0.01 of dilution around LifeLock for the quarter FY 2017 and for the year FY 2017. But the $1.70 to $1.80 incorporated our acquisition model. Now when we come back in May, we're going to come back and talk about operations of the business, the Symantec/Blue Coat combination business, which we feel very good about. We're going to talk about LifeLock, now that we own it and we understand all the pieces. We're going to talk about the debt on LifeLock and what it's going to cost us, because that we will, obviously, have it done. We'll talk about share count and our perspectives and estimates on share count, because we have to think about the implications of the convertibles, which is on the IR website, but I think it's important in terms of how share count can be volatile, and we'll talk about FX. So we've got a bunch of topics we're going to talk about at that point in time, but we wanted to give you a perspective on the $1.70 to $1.80 today. And then your point on FX, let me just make sure I answer that point for the fourth quarter. There's about $30 million of headwind of foreign exchange in revenue in the fourth quarter. So – and then for the year FY 2017, it's in the mid-40s of headwind to revenue. So I think when we look at our overall guidance for the year FY 2017 and when we look at that revenue, where if you look at the midpoint versus before this call, we have increased it, the margins we have increased, we took the entire EPS range up, we feel pretty good about where we're at.
Operator: And our next question is from the line of Shaul Eyal from Oppenheimer.
Shaul Eyal: Thank you. Hi. Good afternoon, guys. Thanks for squeezing me in. Greg, a few weeks back a major network breach was discovered in Saudi Arabia, and I believe Symantec played an important role in discovering and flagging it. Can you talk to us about the breach scope, as well as what products or services were deployed by Symantec in this specification? And maybe in that context, can you just also talk to us in general terms, of course, about Symantec's presence in the federal vertical? Thanks.
Gregory S. Clark: So, Shaul, it's a good question. So just as a matter of policy as a cyber defense vendor, we never give product details in any account, because that's not a good thing for the adversaries to sometimes know that. So as proud as we are about some of our recent things that we did, it's difficult for us to talk about it. But I wanted to say a few things. If you go and take a look at some press releases, we noticed from our threat telemetry, which is one of the biggest competitive advantages our company has against others, we had seen the instances – the instance of some very powerful nation state malware coming back slightly morphed late last year. And we reported on that and we told everybody to kind of button up and be careful, because this stuff is not good for you. And then there was a report came out a couple of weeks ago that it was back and it had shut down substantial infrastructure in Saudi, and that's something that was reported by the media. And then following that, later in the week, one of those companies tweeted and took an interview with some media thanking Symantec for fixing it for them, just a few days later. What went down between that happening and that tweet coming out was something we're very proud of. We never asked the customer to do it. It was just them thanking us, and we helped them put that back together. So that is a massive capability that we have in terms of being able to detect, then also being able to cure these kind of problems. And so I think that's something that if you take a look at the cyber investments that those organizations have, they are massive and they have a lot of heavy stuff in there to protect them from cyber issues like this. And I just would like the audience to know that we are a prime ally in the fight against nation state malware and very capable there. Then in the federal government, similarly to the comment about commercial accounts, we don't like to talk about the kind of products, where, what and when. But we have always had on both the Blue Coat and Symantec side a very strong relationship with all the five eye (01:01:03) governments because we are a very important laboratory in the defense against malware in general, and we have substantial installations all over the world in governments and defense organizations.
Shaul Eyal: Thank you so much.
Gregory S. Clark: Thank you, Shaul. Good question.
Jonathan Doros: Thank you for joining us today. That's it for – time for our question and answers. If any follow-ups, please e-mail or call Investor Relations. Thank you.
Gregory S. Clark: Thanks very much, everyone.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.